Operator: Good day, everyone, and welcome to today's Nomura Holdings Third Quarter Operating Results for Fiscal Year ending March 2026 Conference Call. Please be reminded that today's conference call is being recorded at the request of the hosting company. Should you have any objections, you may disconnect at this point in time. [Operator Instructions]. Please note that this telephone conference contains certain forward-looking statements, and other projected results, which involve known and unknown risks, delays, uncertainties, and other factors not under the company's control, which may cause actual results, performance or achievements of the company to be materially different from the results, performance or other expectations implied by these projections. Such factors include economic and market conditions, political events and investor sentiments, liquidity of secondary markets, level and volatility of interest rates, currency exchange rates, security valuations, competitive conditions and size, number and timing of transactions. With that, we'd like to begin the conference. Mr. Hiroyuki Moriuchi, Chief Financial Officer. Please go ahead.
Hiroyuki Moriuchi: This is Moriuchi, CFO. Thank you for joining us. I will now give you an overview of our financial results for the third quarter of the fiscal year ending March 2026. Please turn to Page 2. Return on equity was 10.3%, reaching the quantitative target for 2030 of 8% to 10% or more for the seventh consecutive quarter. Group-wide net revenue came in at JPY 551.8 billion, up 7% over the last quarter. Income before income taxes fell 1% to JPY 135.2 billion, while net income fell 1% to JPY 91.6 billion. EPS for the quarter were JPY 30.19. The 4 main divisions performed solidly, but the segment -- other incurred losses because of the downturn in market conditions for the digital asset-related businesses. For all 4 divisions in total, pretax income rose 8% to JPY 142.9 billion. This is the highest level in 18.5 years since the first quarter of the fiscal year ended March 2008. Wealth Management achieved growth of around 30% versus the previous quarter, which was itself a strong quarter. Investment Management saw business revenue rise to an all-time high since the establishment of the division, thanks to the consolidation of the public asset management business of the Macquarie Group, which we acquired in December 1, 2025, but profits fell because of weaker investment gains and onetime expenses associated with this acquisition. In wholesale, both Equities and Investment Banking performed solidly generating record revenues. Banking also generated solid revenues from lending activities as well as trust and agent services. In view of our strong momentum, we resolved to set up a share buyback program in order to enhance shareholder return and capital efficiency. The program will run from February 17 to September 30 of this year with an upper limit of 100 million shares and JPY 60 billion in amount. Before we go into details for each business, let us first take a look at earnings in the first 9 months of the fiscal year. Please turn to Page 3. As shown on the bottom left, income before income taxes rose 15% year-on-year to JPY 432.1 billion, net income rose 7% to JPY 288.2 billion. Earnings per share came in at JPY 94.67, and return on equity came in at 10.8%. Please see the bottom right for breakdown of income before income taxes. Pretax income at 4 main divisions rose 10% to JPY 381.3 billion. On a 9-month basis, income before income taxes is running slightly ahead of the target of over JPY 500 billion in our 2030 management vision. Looking at individual divisions, Wealth Management continue to generate stock strong profits and year-on-year recurring revenue cost coverage ratio rose sharply, improving revenue stability. Profits fell in Investment Management because of onetime expenses associated with the Macquarie acquisition, but existing operations continued to generate organic growth, thereby steadily broadening the division's business foundations with a view to future growth. Moreover, at all wholesale businesses -- business lines, they performed well, thereby actively driving group-wide earnings. Banking saw costs rise ahead of the introduction of the new deposit sweep service in the next fiscal year, but loans outstanding and investment trust balances rose smoothly. We will take a look at the third quarter results. Please turn to Page 7. All percentages discussed from now on are based on a quarter-on-quarter comparison. On the top left, you can see that Wealth Management net revenue increased 14% to JPY 132.5 billion, while income before income taxes of JPY 58.5 billion represents a growth of 29% versus the previous quarter, which was itself a strong quarter. The margin of over 40% on income before income taxes was not only high in absolute terms, but was ahead of the street, too. On the bottom left, you can see that recurring revenue rose to an all-time high of JPY 52.7 billion. The first and third quarters tend to be flat quarters for recurring revenue because investment advisory fees are only booked in the second and fourth quarters, but this was completely offset this quarter, thanks to net inflows of recurring revenue assets in excess of JPY 500 billion. Floor revenue also increased sharply to JPY 79.8 billion. Accurate assessment of market movements and client needs, along with supply of new products, helped to ensure strong revenue. Recurring revenue cost coverage ratio also rose 1 percentage point to 71% amid ongoing cost control initiatives. Please turn to Page 8, where you can see an update on total sales by product. Total sales rose around JPY 300 billion to JPY 6.6 trillion, thanks to growth across a wide range of products. Equities registered growth of 4%, thanks to increased secondary trading during market correction phases as well as major primary deals. Bonds registered a decline of 25%, yen-denominated bond sales came in flat as rising interest rates boosted yields and ensured solid demand, but foreign bond sales were hit by the disappearance of primary deals booked in the previous quarter. Investment Trusts and Discretionary Investments, which make up recurring revenue assets saw steady growth in sales and insurance sales remained strong. This demonstrates that the shift from savings to investment has now firmly taken root. Next, we take a look at the KPIs on Page 9. On the top left, you can see that recurring revenue assets saw a net inflow of JPY 503.9 billion, although there were some liquidity needs prompted by record highs in major markets, we secured the largest net increase on record. Our efforts to expand the recurring business are steadily producing results, strengthening our confidence. Meanwhile, as shown on the top right, recurring revenue assets totaled JPY 28.1 trillion at the end of December, which also presents an all-time high. As shown on the bottom left, the number of flow business clients rose by around 270,000 to 1.53 million. Volume market conditions led to an upturn in client activity and primary deals such as the SBI Shinsei Bank IPO, also encouraged trading activity. Next, let's take a look at Investment Management on Page 10. On the top left, you can see that net revenue came in flat at JPY 60.9 billion, and the income before income taxes fell 42% to JPY 17.9 billion, mainly because of onetime expenses associated with the Macquarie acquisition, together with weaker gain associated with American Century Investments, which came under investment gains and losses. On the bottom left, you could see that business revenue, which constitutes stable revenue rose to an all-time high of JPY 57.8 billion, benefiting from revenue from the acquisition that we completed in December last year as well as from solid performance in asset management business in Japan. However, Investment gains fell because of smaller gains related to American Century Investments and the disappearance of gains in the sales of portfolio companies at Nomura Capital Partners. Although profits for the division fell because of weaker investment gain and onetime expenses associated with the acquisition. The impact was offset in consolidated accounts via the reversal of the valuation allowance for deferred taxes, -- deferred tax assets. Let's now turn to Page 11 and examine our Asset Management business, which is a key source of business revenue for the division. The graph on the upper left shows that assets under management reached an all-time high of JPY 134.7 trillion at the end of December as shown on the bottom left, net inflows amounted to JPY 115 billion, representing the 11th consecutive quarter of net inflows. Net inflows to domestic investment trust business totaled JPY 71 billion. Although there were outflows from ETFs for profit taking amid rising equity markets and from Japanese equity investment trusts due to early redemptions, they were offset by inflows into newly established Japanese equity active funds, private assets and balanced funds. Net inflows into domestic investment advisory and International businesses totaled JPY 44 billion, with the outflows from U.S. high-yield bonds and the business we acquired, but influenced mainly into yen-denominated bonds in Japan. As shown at the bottom right, alternative assets under management rose to a new high of JPY 3.3 trillion. This represents growth of about JPY 400 billion versus the end of September, more than half of which stems from net inflows. Next, let's take a look at wholesale on Page 12. On the top left, you can see that wholesale net revenue rose 12% to JPY 313.9 billion, while income before income taxes rose 17% to JPY 62.3 billion. The breakdown on the bottom left shows that global market net revenue rose 9%, while Investment Banking net revenue rose 31%. Please turn to Page 13 for an update on each business line. Page 13, please. Net revenue in the Global Markets business rose 9% to JPY 256.8 billion. Please look at the middle section on the right. Fixed income revenue rose 12% to JPY 136.9 billion. In macro products, rates, revenue growth in Japan and the Americas increased flows, while FX emerging revenues rose in EMEA and also recovered in ASIA from the previous quarter. In Spread products, credit revenues fell in AEJ of investors adopted a cautious approach, but securitized products revenues remained high in the Americas, in particular. Equities revenue rose 5% to a new high of JPY 119.9 billion. Equity Products revenue rose sharply in the Americas on strong performance in derivatives, and execution services revenues rose sharply in Japan, particularly thanks to primary deals. Turn to Page 14, please. As you can see on the bottom left, Investment Banking net revenue rose 31% to JPY 57.1 billion. This represents the strongest performance for the period since the fiscal year ended March 2017, the earliest period for which we can make meaningful comparisons by product in advisory momentum remained strong in Japan with multiple transactions involving moves to take companies private and cross-border deals, and international businesses made the contribution with multiple deals, including deals in closely watched sectors, mainly in EMEA and AEJ. Revenue rose sharply in financing and solutions. Major IPOs and public offerings made strong contributions to growth in ECM, especially in Japan. Elsewhere, solutions revenue and DCM revenue in Japan also remained strong. Now let's look at banking. Please turn to Page 15. As seen on the top right, in banking, net revenue came to JPY 13.7 billion, up 7% from the previous quarter. Income before income taxes rose 31% to JPY 4.2 billion. Income from lending business and trust agent business held firm as the division established in April 2025 increased the outstanding balances that we have set as KPIs, while benefits of marketing and advertising strategies slowly started to emerge. Preparations for the deposit sweep service scheduled for introduction in the next fiscal year are progressing as planned. Next, Page 16, for expenses. Group-wide expenses came to JPY 416.5 billion, a 10% or JPY 37.7 billion increase from previous quarter. As shown on the right, the drivers of the increase include an FX impact of JPY 9 billion as well as JPY 13 billion in one-off costs, such as onetime expenses associated with the acquisition and the temporary costs arising from partial changes to the deferred compensation plan. Other major factors include operating expenses related to the acquired business provisions for performance-linked bonus and commissions and the floor brokerage fees. These are primary strategic investments aimed at strengthening our future earnings base or variable costs that move in line with revenue. Moving forward, we will continue to execute strict cost control and work to secure our profitability. Last, Page 17 for financial position. In the table on the bottom left, we can see that Tier 1 capital at the end of December came to JPY 3.6 trillion, up JPY 60 billion since the end of September, while risk-weighted assets came to JPY 24 trillion, up by JPY 700 billion. The common equity Tier 1 ratio at the end of December came to 12.8%. Our common equity Tier 1 ratio finished the quarter down 13% at the end of September, but this is mainly attributable to the negative effect of 0.5% as a calculation method for regulatory capital ratio changed with the completion of the acquisition of the business from Macquarie Group. This concludes our overview of third quarter results. In closing, in the Q3, strong performance continued across all 4 segments, as stable revenue grew and repeat client flows were monetized against backdrop of U.S. Japanese equities rising to new heights, while absorbing one-off costs associated with acquisition, ROE for the Q3 came to 10.3% and ROE based on performance in the 9 months through the end of Q3, came to 10.8%. Let me touch upon the situation in January. In Wealth Management, net revenue thus far in January is about even with the level in the third quarter. Client sentiment has been favorable despite some selling pressures in the market, and we think household financial assets are steadily shifting into investment in response to concerns about the inflation and heightened long-term diversified investment need. In wholesale, due to seasonal factors, Q4 tends to be somewhat slower than the previous quarter, even though GM, or Global Market, is striking broadly in line with the prior quarter. Meanwhile, Investment banking has gotten off to a slower -- slightly slow start, but overall, the pipeline is solid, and we are not concerned. In Q3, the impact on earnings from fraudulent transactions stemming from phishing and scams was negligible based on recent conditions, we think the impact on earnings will continue to be very minimal. Also, there are 2 items that needs additional explanation regarding Laser and Investment Management division. First, starting with Laser. Let me explain the losses in the segment Other. In this past quarter, we recorded losses in part of our business in EMEA owing to digital asset market movements and the effect of currency hedges. Specifically, earnings at Laser Digital, the unit that runs digital asset business were negatively impacted by market movements observed in October and November of last year. Laser became profitable 2 years after its establishment and its performance was solid in Q2, but the units suffered a temporary negative impact in the third quarter. Earnings in the crypto asset business are volatile by nature, and we are well aware of management of the business over medium to long term, has to take that volatility into account. At the same time, to limit short-term earnings fluctuations, we have further tightened control over positions and risk exposure. Moving forward, we will continue to capture growth in crypto markets while strengthening our services and customer base. Next, regarding Investment Management division's performance, let me add -- let me explain the existing platform and acquired business separately. First, excluding the impact of the acquisition of existing platform's AUM expanded from JPY 101 trillion as of end of September to JPY 110 trillion at the end of December, supported by net inflows and the business revenue reached a record high. I will explain next the acquired business after consolidating December results. We newly recorded approximately JPY 25 trillion in assets under management, business revenue for the period was JPY 7 billion, and operating expenses were JPY 5 billion, in addition, one-off acquisition-related costs and amortization of intangible assets were recorded, bringing total expenses, including operating costs to roughly JPY 11 billion. These one-off acquisition costs reduced the division's pretax profit, but the impact on consolidated net profit after tax was offset by releasing valuation allowances against deferred tax assets associated with the acquisition. As we explained at the investor event in December, we expect total future expenses of $100 million or so for transfer and integration-related costs and other items. These costs will be incurred over the next 2 years, but the majority is expected to be recognized over the 1-year period starting from the fourth quarter, we are now going over the details of what we expect to spend on growth investments and plan to present this information at the Investor Day event in May because the acquisition was only just been completed, have commented in some detail here about the contribution of the acquired business, but as acquired the business, becomes more fully integrated into operational commentary on business performance, we will treat the division as a unified whole while maintaining the disclosure transparency once we are through the initial investment phase of the J-curve, our long-term aim is to grow profits by maximizing synergies between our existing and the newly acquired business. The company celebrated its centennial on December 25 last year. Going forward, we aim to continue striving for growth with the help of our stakeholders and other stakeholders. We are grateful for your continued support. Thank you.
Operator: [Operator Instructions] The first question is by SMBC Nikko's Muraki-san.
Masao Muraki: Muraki of SMBC Nikko. I have 2 questions. Page 24, JPY 10.6 billion Red Inc. in Europe. Laser Digital, you said that there was a fluctuation of the market between September and November. So JPY 10 billion of losses. At that stage, there was quite a sizable position. What was the status in terms of position management? One year ago, quite a sizable profits had been recorded, but at that stage, what was the state of position management and in order to control volatility, you said that you are taking measures, but what's your forecast regarding the volatility of performance going forward? That's my first question. Second question, Wealth Management, Page 7. There was net increase in investment trust, but amount outstanding, net inflow was quite strong. What's the backdrop? There was not any outflow. Is this sustainable? And margin is more than 40% -- 44%, AI-related investment was cited, but what would be the level of margin?
Hiroyuki Moriuchi: Muraki-san, thank you for those questions. The first question -- the first point of question one, Laser's activity, were there any long positions taken? As you know, regarding Laser's activities, institutional investor market making and crypto assets, fund management and Nomura seed investment, venture investment. These are the diverse activities that Laser is engaged in as we offer services to customers. As you pointed out, there had been some long positions, and based upon that situation, going to the second point of your first question, how will we control volatility of performance going forward? This is a new industry of digital assets, and there are growth prospects, and we are currently in the stage of fostering businesses. And we -- our position is unchanged. We will -- we have long-term commitments. And in terms of risk management framework, we already had a robust risk management framework. On the other hand, in the short term, as you have rightly pointed out, how should I put it? There are times when sizable revenues are recorded, but last year, in November and December, there was some market disruption. So there is upside as well as downside, quite significant upside as well as significant downside. So in the short term, already, in order to control volatility, we are reducing the volume of risk in the positions we take. So this kind of precise position management will be continued in order to control upside and downside volatility, and in the long run, we wish to expand this business. So that concludes my response to your first question. Second question, net inflow of investment trust is sizable. Is this sustainable? Now having said so, there is market impact. There is impact from customers' preference. And I would like to, therefore, refrain commenting on whether we think that this trend will continue. On the other hand, 44% is a high margin, and can we further seek higher margin on this matter? Partially there are impacts coming from the market. So it's difficult to make any comments on that dimension. We are impacted by cyclical factors. Market structural change is taking place. And our policies are well aligned to market structural change. The Japanese market, retail investors are making a major shift from savings into investment. This is a sustainable trend, and we are taking measures that are well aligned to that trend. So in comparison to historical trends, we think that the margin level will be high, we will be able to maintain higher margin level. On the other hand, on the cost control side, we are continuing our efforts. But selectively, we are using AI, investing into AI, in order to improve the services we provide to our customers, so that will continue. So that concludes my response to your 2 questions.
Masao Muraki: My second question, Morgan Stanley and Merrill Lynch margins are 30%. They've targeted 30% and the actual is slightly over the target, but why does Nomura such advantage? Is it because the asset size is -- would they have larger asset size? What's your advantage?
Hiroyuki Moriuchi: Thank you for the question. I was consulting with our people in IR. There are country-to-country differences in terms of market structure, making it difficult to do an apple-to-apple comparison. Nomura's Wealth Management 100% sales are in-house. And because of that, partly because of that, it's easier to control cost. And the revenue market structure, I will have to once again check the market structure to respond regarding revenue. So I will conclude here.
Operator: The next question is asked by Watanabe-san of the Daiwa Securities.
Kazuki Watanabe: I'm Watanabe from Daiwa. I have 2 questions. First question is about Wealth Management's pricing strategy, other face-to-face securities, overseas equities, and other products they are raising commissions. Do you have a discussion internally about raising pricing? Second question is about the timing and scale of buyback. Why Q3? Why not Q4? What's the background of the JPY 60 billion in size?
Hiroyuki Moriuchi: Thank you for your questions. For your first question on Wealth Management's commission rate, whether our peers are raising commission and what is our situation? That's your question. It's related to Wealth Management strategy. So I would like to refrain from answering that question. For us, we are focusing on value provision to customers. So we are considering what is the best solutions for customers. And we would like to continue our deliberation. Regarding your second question about the timing of buyback, why Q3? And also you asked about the value or amount. Regarding the timing, for one thing, Macquarie U.S. Asset Management transaction closing was the 1st of December. And by booking the business, CET1 ratio impact was not clear, but it was clarified and finalized. So our investment capacity was clarified. So in the market, there is expectation for buyback. So with that taken into consideration, we wanted to live up to expectations of investors and decided on buyback. Regarding the size of buyback as mentioned repeatedly, for us, investment strategy and future opportunities and also, at the same time, the importance of shareholder return are all considered. And based upon the balance, we came to the decision on the size.
Kazuki Watanabe: Regarding the second answer, CET1 ratio. That's above the target range this time. And on that basis, you came to JPY 60 billion. So if FY 2025, so based upon the total return ratio target. So this completes your actions to meet the target for FY 2025?
Hiroyuki Moriuchi: So whether we are at or above 50% in total return ratio that cannot be decided until we see the fourth quarter results. Based upon the fourth quarter results, we will check whether there is shortfall or not. If there is shortfall, then we will consider measures to take at that point in time, but when deciding on the amount, it is possible to add to what we have announced.
Operator: The next question will be by JPMorgan Securities, Sato-san.
Koki Sato: JPMorgan Securities, Sato. I have 2 questions. First, Global Markets, post-January performance. You touched upon that subject Q3. You said that the trend of Q3 has been maintained since the beginning of the month. Domestic rates, recently, there had been some fiscal concerns that had led to spike in interest rates, which means there was lack of buyers. So some people cited that there was dysfunctioning of the market. And under such circumstances, how should we view your domestic rates business? Secondly, just to confirm the numbers, Macquarie acquisition, 1-month worth revenue expenses, revenues and expenses will be booked, but normal rate contribution, JPY 7 billion revenue, JPY 5 billion cost, so JPY 1 billion per month times 12. Is that the right assumption? So can you confirm whether those numbers are correct?
Hiroyuki Moriuchi: Thank you for the question. Then on the first question, the performance is solid in January as was the case of Q3, but what about domestic rates? As you have pointed out, there has been some increase in volatility in the market, super-long bond rates are going up. And therefore, some of the clients are taking a wait-and-see attitude and that is partly reflected in our Japan rates business, which has seen some slowdown. On the other hand, for global markets, in general, we are doing quite well because our business has diversified. In Japan, it's not rates alone. We're doing equity, credit. We're in diverse business areas and our GM business overseas, especially U.S., the business has grown to become quite sizable. So this slowdown has been absorbed, and we are recording sound performance in January. On the second question of Macquarie acquisition, no, in peacetime, 7 minus 5, to minus goodwill, 1 times 12. That's the broad image, but this 1 month is quite difficult because in revenue, seed capital -- we have seed capital to foster the business, and there is fluctuation. For the annual -- in annualized term, the position is neutral, but when we look at a snapshot of 1 month, there could be some fluctuation. So it could become bigger. So I think that's the way to look at it.
Operator: The next question comes from Tsujino-san of BofA Securities.
Natsumu Tsujino: So this time, personnel cost increased and deferred compensation accounting method was changed and that impact is included, and moving forward in Q4 and after Q4 as well, what is going to be the impact in and after Q4? And also, what is the actual amount, absolute amount in impact? And considering that this time, revenue due to weak yen and personnel costs due to weak yen, both seem to have increased. But the way personnel costs increased, what was the reality of how personnel costs increased. That is my first question. And the impact from next fiscal year. Next question, second question is about Laser Digital. You said you have reduced position, but moving forward, this business is what you would like to grow. And of course, you have traditional securities business, which is growing, but when the size increases, then you have no choice about to increase positions and then hedge is impossible for crypto assets. Then how should we think about the positioning. In the long term, how do you deal with the volatility that needs to be considered. So what is your thinking?
Hiroyuki Moriuchi: Thank you for your questions, Tsujino-san. Regarding your first question on deferred compensation, accounting method change, what is the actual impact? And what is the impact expected in the fourth quarter and the next year? In the third quarter, actual impact amount is about JPY 8 billion. In the fourth quarter, about the same amount is expected as impact. And next year onward, JPY 15 billion or JPY 16 billion are expected impact. But next year -- well, that's this year. So next year, 40% or 50% of that is what we expect for next year. And year after next, the impact will be negligible. It's difficult for me to explain here the accounting treatment involving the slide in timing of cost recognition. Deferred compensation systems have varying treatments. So the cost is front-loaded and spending after 12 months, the level normalizes, that's how we should think about it. Regarding your second question about the reduction of Laser positions. In the medium and long term, with the business growing, the position will grow bigger, and the volatility will stay elevated. That's the point, which you pointed out, I believe. And regarding your point, strategy included, we need to have a thorough discussion in any ways. We would like to grow this business in the medium to long term, but there are several activities by holding inventories we do market making and trading for customers, then the unit risk exposure will be reduced. On the other hand, as mentioned, digital asset or crypto asset-related businesses, in addition to market making for institutional investors include other businesses such as crypto asset, management business or venture ecosystem supporting business, also combine custody-related businesses, there are such other businesses. So while ensuring diversity, we would like to grow the ecosystem. That is our direction. So just like you, Tsujino-san, we have the same sense of risk. So while understanding those points, we would like to conduct this business.
Natsumu Tsujino: Regarding lending, are you conducting lending right now? And there is no extra risk there, if you are conducting lending business like crypto asset lending.
Hiroyuki Moriuchi: Regarding lending business, we do have lending business as part of product lineup, but activity is very small.
Operator: The next question is for UBS Securities, Niwa-san.
Koichi Niwa: This is Niwa. I hope you can hear my voice.
Operator: Yes, we can hear you.
Koichi Niwa: Wholesale resource efficiency and private assets. First, revenue and risk-weighted asset ratio Page 12, 7.7%, quite high. And how does the management evaluate this level? And you've been talking about improving efficiency. So is there room for further increase division ROE. Do you think that this could be raised further? That's the point of my question. And secondly, I will deviate, but in Nikkei newspaper, Mr. Okuda was responding to an interview regarding private assets, and he was talking about selling Japanese products in other countries. So if you want to invite assets or investments into Japanese private asset, what is your estimate of the size of the business in terms of AUM or revenue? Or in order to engage in such business, does Nomura need to be equipped with a new function. So those are my questions.
Hiroyuki Moriuchi: Then on your first question regarding resource efficiency of resource, Page 12, 7.8%, revenue modified RWA, we think that this is so and so acceptable global markets, Hong Kong, Singapore, IWM is engaged in wealth management business. Resource is not so much needed and taking that growth, all of the activities taken together, this is the level. So for example, if the question is whether the resource efficiency is going up in a certain business, not so. This is a result of the business mix. So that's my first point. And next, this number, is it possible to further increase this number? If we overfocus on that, the statutory capital RWA revenue or profitability in order to increase that, we may end up taking too high substantive risk in light of the economic capital. So it's good that this number goes up, but rather than just focusing on this indicator, we would look at various indicators comprehensively for risk management. And if in the end, this number goes further up, then that's positive. We have the self-funding program. The resource maybe somewhat tight for the business, and they are incentivized to focus on efficiency of resources. So even if there is a potential project, they have to judge whether resource can be used efficiently in light of the revenue that could be gained from that project. So I think that kind of incentive has also delivered some results. So this 7.8% is quite reasonable and appreciated, but we're not just chasing this number. Second question, Japanese private asset in order to invite money into Japan for development of Japanese infrastructure, what kind of mechanism, or what's our estimate of the size of the resource? Regarding those points, it might be a bit premature to share the design we have in mind. And I think we need to engage in more internal discussions. At one point in time, we will probably have more factors that we can speak to you, and then we will explain our strategy. I hope that this would do for today.
Operator: [Operator Instructions] As there is no more question, we'd like to conclude question-and-answer session. Now, we'd like to make closing address by Nomura Holdings.
Hiroyuki Moriuchi: Thank you very much. I am Moriuchi. Thank you very much for spending your precious time. As mentioned, there are one-off items and the technical accounting-related items, which are difficult to grasp. And they are ending up in increase in revenue and decrease in profit in any ways for divisions delivered a strong performance and we are positively looking at the performance. So medium, long term, we are focused on growing the revenue power of those four divisions. As for Laser Digital, we believe the business is promising in the medium, long term. So we would like to grow the business while suppressing short-term volatility by controlling the risk volume. In any case, thank you very much for your precious time that you spent with us. That is all for me. Thank you.
Operator: Thank you for taking your time, and that concludes today's conference call. You may now disconnect your lines. [Statements in English on this transcript were spoken by an interpreter present on the live call.]